Operator: Good day and welcome to the Qorvo, Inc. Q4 2016 Year-End Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Douglas DeLieto, Vice President of Investor Relations. Please go ahead, Mr. DeLieto.
Douglas DeLieto - Vice President-Investor Relations: Thanks very much, Adam. Hello, everyone, and welcome to Qorvo's fourth quarter fiscal 2016 earnings conference call. This call will include forward-looking statements that involve risk factors that could cause our actual results to differ materially from management's current expectations. We encourage you to review the Safe Harbor statement contained in the earnings release published today, as well as the risk factors associated with our business in our Annual Report on Form 10-K filed with the SEC, because these risk factors may affect our operations and financial results. In today's release and on today's call, we provide both GAAP and non-GAAP financial results. We provide this supplemental information to enable investors to perform additional comparisons of operating results and to analyze financial performance without the impact of certain non-cash expenses or other items that may obscure trends in our underlying performance. During our call, our comments and comparisons to income statement items will be based primarily on non-GAAP results. For a complete reconciliation of GAAP to non-GAAP financial measures, please refer to our earnings release issued earlier today available on our website, qorvo.com, under Investors. In fairness to all listeners, we ask that each participant please limit themselves to one question and a follow-up. Sitting with me today are Bob Bruggeworth, President and CEO; Steve Buhaly, Chief Financial Officer; Eric Creviston, President of Qorvo's Mobile Products Group; and James Klein, President of Qorvo's Infrastructure and Defense Products Group. I'm also joined by other members of Qorvo's management team. And with that, I'll hand the call over to Bob.
Robert A. Bruggeworth - President & Chief Executive Officer: Thanks, Doug. Good afternoon, everyone. Welcome to our fiscal 2016 fourth quarter earnings call. Revenue for the March quarter totaled $607.1 million, exceeding our quarterly guidance, reflecting increased demand for our highly-integrated solutions and a return to growth in IDP broad target markets. Gross margin was 50%, up 210 basis points sequentially, reflecting crisp execution by the Qorvo team. Operating margin was 26.4% with operating expenses of approximately $143 million, reflecting reduced variable compensation expense. On February 17, we announced an accelerated share repurchase program and during the March quarter we were able to repurchase 10 million shares of common stock. We expect to repurchase an estimated 500,000 share in the June quarter as part of the ASR and we have $250 million that remain authorized for future repurchases. In Mobile Products, revenue was $465 million on the strength of content gains and smartphone program ramps. During the quarter, we launched an increasing number of highly-integrated, high-performance solutions that leveraged the breadth of our industry-leading portfolio of products and technologies. We enjoyed strong demand for our highly-integrated solutions led by products incorporating our premium filters. We expect these highly-integrated solutions will continue to drive our growth. Qorvo's expanding family of RF Fusion solutions stands out as an example. These tightly-integrated compact solutions leverage our BAW and temp-comp SAW filters, our low-loss, high throw-count SOI switches, and our high-performance, low-noise amplifiers to deliver performance that's unmatched by competitive solutions. In the China market, the deployment of carrier aggregation and the migration to full mode devices is increasing the demand for our RF Flex solutions, our BAW-based quadplexers and a broad variety of our antenna control solutions. Looking into calendar 2017, our customers in China are asking us to integrate our premium filters into RF Flex to reduce complexity and enhance smartphone performance as carrier aggregation proliferates and bands and modes are added. Again, this strongly favors our broad product portfolio and integration capabilities. In IDP, revenue grew 9% sequentially to approximately $142 million, reflecting a return to growth in IDP's broad target market. We indicated last quarter that IDP had repositioned its diverse portfolio of businesses to accelerate growth and we've begun to see the benefit of that sharpened focus. In automotive, IDP secured a significant design win with a Tier 1 automotive supplier, meaningfully expanding our opportunity in automotive infotainment systems at several European car manufacturers. Elsewhere, in connectivity, IDP leveraged the superior performance of our integrated solutions in efficiency, thermal dissipation, range and a number of other key metrics to secure the lead position on Quantenna's QSR10G Wi-Fi solution. This solution enables the industry-first 10G Wave 3 solution through a True 8x8 MIMO configuration for 5GHz networks and a 4x4 MIMO configuration for 2.4GHz networks. In Wireless Infrastructure, revenue grew by more than 25% sequentially, and we returned to more historic levels in our base station business. And again, we enjoyed increasing demand for Qorvo's high-frequency and high-power solutions across both infrastructure deployments and advanced defense application. Across all our markets, it's increasingly clear that Qorvo's industry-leading portfolio of RF products and technologies represents a significant competitive advantage. Qorvo's offering our customers a combination of performance and integration that's not been available previously, putting us in a favorable position to gain content and outpace our market. Equally important is our unique ability to match the optimum technology, or combination of technologies, to each customer's application without bias towards any one technology or architecture. Only Qorvo delivers a comprehensive product portfolio of filters, switches, amplifiers, PMICs, LNAs and tuners with the scale, integration capabilities and system-level expertise to supply an expanding variety of highly-integrated solutions. This is leading to deeper relationships with our customers, channel partners and carriers as they see greater economic value in maximizing spectral efficiency. To monetize their respective investments, they're seeking increasingly precise, highly-integrated solutions optimized to solve specific challenges related to the delivery of broadband data. Qorvo is unique in its ability to address that need. In both Mobile and IDP, Qorvo is leveraging our comprehensive product and technology portfolio to participate in the development of 5G standards to expand our growth opportunity. We are engaged in 5G field trials with infrastructure customers, and we are assisting in the development of key aspects of 5G next-generation wireless communication standards as a member of 3GPP. In 2016, 3GPP is set to make significant progress in defining 5G use cases. 5G will enable speeds comparable to fixed broadband, with ultra-low latency and the capacity for massive-scale networks, creating exciting opportunities in new markets, like wireless residential broadband, autonomous driving, robotics, virtual reality, urban sensor networks and other applications leveraging deployment of the global Internet of Things ecosystem. In IDP, we're introducing highly differentiated products that enable customers in high-growth markets to introduce products at record speed, and with higher levels of functionality. As an example, in automotive, our highly-integrated solutions maximize data throughput while solving the complex challenges related to spectrum congestion. The compound annual growth rate in automotive connectivity is forecasted to be 45% through the year 2020, and Qorvo's broad portfolio of RF solutions position us favorably for success. Across all our markets, it's our goal to deliver breakthrough RF solutions that accelerate the delivery of broadband data and create value for our customers and our customers' customers. We intend to leverage our broad scale, industry-leading product and technology portfolio and strong organizational discipline to achieve operational excellence, capture value and deliver superior financial results. We prioritize our uses of cash by investing in our business to drive growth, returning capital to shareholders through share repurchases and exploring opportunities for M&A to supplement growth in IDP. Since our earnings conference call last quarter, we repurchased more than 10 million shares of common stock, we made an acquisition to expand into the Internet of Things, we commenced production of 6-inch temp-comp SAW in Florida, and 6-inch SAW in Greensboro to support a marquee smartphone this calendar year. And we're in the final days of qualifying our 8-inch BAW process in Texas. Our BAW-based hexaplexer prototypes are demonstrating excellent performance, and we've begun to sample a highly-integrated RF Fusion that incorporates our hexaplexers. We see strong growth and increasing customer pull for these types of solutions in the coming years. We recently acquired clean room space near our Richardson campus to support customer demand for BAW filters, whether they be in discrete implementations, quadplexers, pentaplexers, hexaplexers, diversity receive modules or other highly-integrated RF solutions. The facility is already fully operational, and it's our goal to incrementally convert the facility to BAW in the back half of next calendar year to support customer program. As the industry's leading supplier of SAW, temp-comp SAW and BAW devices, we are adding capacity to keep pace with the increasing customer demand for our high, mid and low-band products. In fact, Qorvo will soon be in production with low-band PADs, mid-band PADs and high-band PADs all in premium tier marquee LTE smartphones. Before handing off the call to Steve, I want to say a quick word about our acquisition of GreenPeak Technologies, which just recently closed. GreenPeak is a recognized leader in ultra-low power short-range RF solutions with an expanding business and customers all over the globe, a great number of who are already purchasing high-power solutions from Qorvo. GreenPeak will become a part of IDP and will be run by Cees Links, their Founder and CEO. Cees Links is a recognized industry leader who was instrumental in the development and adoption of Wi-Fi technology. We expect GreenPeak's ultra-low power RF solutions and SOCs for the connected home and Internet of Things to nicely complement IDP's industry-leading portfolio of high-power solutions. We have not included any revenue from GreenPeak Technologies in our June guidance. In the September quarter, we'll have a full quarter of GreenPeak revenue, and we'll begin to include it in our guidance then. And with that, I'll hand the call over to Steve for a more detailed look at our financials.
Steven J. Buhaly - Chief Financial Officer: Thanks, Bob. Qorvo's revenue for the March quarter was $607 million, much better than typical seasonality relative to the December quarter. Mobile Products' revenue declined 5% to $465 million, while IDP showed continued strength as revenue grew 9% to $142 million. Content gains in the Samsung Galaxy were the largest driver of the healthy sequential performance in Mobile. Qorvo had three 10% customers, the largest at approximately 33% of revenue representing the aggregated demand of multiple subcontractors for this end customer. Our other 10% customers during the quarter were Samsung and Huawei. Gross margin was 50%, up sequentially from 47.9%, reflecting the absence of a couple of yield issues experienced in the prior quarter. Operating expenses remained relatively low at $143 million, driven by reduced variable compensation expense. Operating income was $161 million, or just over 26% of revenue. Net income for the March quarter was $143 million, or $1.04 per diluted share based on 137.5 million shares outstanding. Turning to the balance sheet, total cash and investments was $613 million, and cash flow from operations totaled $160.5 million. Capital expenditures were $84.4 million, primarily to address growth and demand for our premium filters. The company repurchased approximately 10 million shares during the March quarter, under our $500 million accelerated share repurchase program. As the actual purchase occurred about halfway through the quarter, the impact on the March quarter share count was about five million shares. We expect to repurchase an estimated 500,000 shares this quarter, as the ASR program is completed. The ASR is part of our previously announced $1 billion share repurchase program, approved in November of 2015. After giving effect to the ASR, approximately $250 million remain authorized under this program for future repurchases. We made good progress last quarter on significant long-term opportunities to improve our growth and profitability. We acquired a highly respected IoT firm, improving our SAM and growth prospects. We continue to improve both the fundamental performance capabilities of our SMR BAW process, and the capacity to produce to growing customer demand. Our acquisition of a former Maxim plant just a few miles from our existing operation in Richardson will provide low-cost clean room capacity for the next leg of BAW growth. We saw strong progress on large cost-reduction initiatives: 8-inch BAW wafers, 6-inch TC-SAW wafers, and the insourcing of mobile assembly and test into our Chinese plants. It's an exciting time in RF and at Qorvo. Now let's turn to our business outlook. Qorvo currently believes the demand environment in its end markets supports the following non-GAAP expectations for the quarter ending July 2, 2016. Quarterly revenue of about $650 million, gross margin of about 50%, net interest expense of approximately $15 million, a tax rate at approximately 10% and diluted earnings per share of approximately $1.05 based on approximately 133 million shares outstanding. Our June revenue expectations indicate healthy 7% sequential growth, reflecting our strong book of business. Actual quarterly results may differ from these expectations; and as such, differences may be material. We currently expect to report June quarter results on August 2, 2016. With that, I'd like to welcome your questions.
Operator: Thank you. The first question comes from Toshiya Hari from Goldman Sachs. Please go ahead.
Toshiya Hari - Goldman Sachs Japan Co., Ltd.: Hi. Good afternoon, and thank you for taking my question. And congrats on a very strong quarter. My first question is regarding your revenue performance, both in the March quarter and in the June quarter. You seem to be clearly outperforming the overall industry. You talked to content gains in the Samsung Galaxy. But were there any other things that led to this outperformance?
Robert A. Bruggeworth - President & Chief Executive Officer: Thanks for your comments, Toshi. And clearly, IDP had strong growth, as we touched on, in the infrastructure business, as long as the connectivity business in the March quarter for pretty good performance. Also, as you pointed out, we saw good strength from one of our 10% customers. I think it would be good – as we look at the June guidance, we are expecting both businesses to grow in June. But, I will tell you, the majority of the growth is going to be coming from the Mobile business. So, I'll let Eric talk a little bit about the growth.
Steven Eric Creviston - President-Mobile Products: Thanks, Bob. Yeah, I think in the June quarter, we are expecting to be up significantly, outside of our largest customer, in particular. And that's driven primarily by just the continued content growth in China. I think we're back on track with the next-generation solutions. We've announced RF Flex Gen-3 is already ramping into high-volume production. That's helping to carry some of the sequential growth.
Toshiya Hari - Goldman Sachs Japan Co., Ltd.: Okay. Thank you. And my follow-up is on the inventory situation. When I look at your balance sheet, I think inventory was up about $80 million on a year-over-year basis, while revenues were down about $25 million. Should we be concerned about your inventory level? Or do your current booking status support significant revenue growth, so that we shouldn't be concerned here? Thank you.
Steven J. Buhaly - Chief Financial Officer: Yeah. I don't think you should be too concerned, but two things to think about here. One is, we are doing some advanced building in anticipation of growth later this year. And then secondly, I think our inventory levels are a little heavy and we can improve our turns performance and we expect to do so. I don't have a concern about excess and obsolete type risks. We monitor that closely. We just went through a quarterly review. And I don't have concerns there, but I think that is an area where we can improve and will do so.
Operator: Thank you. The next question comes from Mike Burton from Brean Capital. Please go ahead.
Mike A. Burton - Brean Capital LLC: Hey, guys, and my congratulations as well on the strong results, especially in this environment. Just following up on that second question first. Steve, if you could talk us through the puts and takes on gross margin with revenues heading up in the June quarter and then your thoughts about it going forward?
Steven J. Buhaly - Chief Financial Officer: Yeah. So, relative to the June quarter, we're back to expectations of 50%. As you might remember, that's pretty much where we've been running the last several quarters. Last quarter, we had a yield issue on a couple parts that knocked us down to just under 48%. In the absence of that, we're kind of back to where we have been at. And relative to the full-year, I'll offer a couple of things, since you ask. One is, we continue to believe our market is growing at a 10% to 15% rate and we believe we'll grow consistent with that. Second, I think we have with that growth rate a good opportunity to see fiscal year 2017 earnings per share getting pretty close to $5 a share. If all goes well, we might hit that $5; but I would say, if I were modeling, I'd say we'll get up into the neighborhood, we'll get pretty close to $5. And beyond that, I'm going to – gross margin and OpEx, that mix will depend on the type of business and opportunities we have as we go through the year.
Mike A. Burton - Brean Capital LLC: Okay.
Steven J. Buhaly - Chief Financial Officer: And I'll add, I think tax rate should be about 10% and next quarter we expect shares to be about 133 million and we'll see what we do from there on.
Mike A. Burton - Brean Capital LLC: Great. And then also, Eric, it sounds like the China is picking up for you guys in Q2. I wonder if you're already starting to see some progress that you were planning on making at MediaTek. And then just also if you could just clarify, I know you said that growing in Q2 but was China up or down for you guys in Q1 as well?
Steven Eric Creviston - President-Mobile Products: Yeah. Thanks, Mike. No question we're much happier with our position in MediaTek now than we were six months to nine months ago. We announced at Barcelona the RF Flex Gen-3 solutions which are aligned with both MediaTek and Qualcomm, frankly. And seeing a pretty good uptake. We saw – exiting the March quarter, we began to see China really take off. So they were okay in March, but they weren't really the factor that helped offset seasonality as much as Samsung was.
Robert A. Bruggeworth - President & Chief Executive Officer: Mike, I would also point out, as we touched on last quarter, we've got to let you guys know that we felt that the antenna tuners and a lot of those solutions, because of the metal cases starting to proliferate in our Chinese customers' designs, that's a great opportunity for growth for us. So, it's not just the power amplifiers. It's also our high-performance BAW filters, as well as some of our antenna tuners.
Operator: Thank you. The next question comes from Harsh Kumar from Stephens. Please go ahead.
Harsh V. Kumar - Stephens, Inc.: Hey, guys. Congratulations from me as well. Fantastic numbers. Question, Bob, for you. As you look in the back half of the quarter, you've given the June guide – Steve's kind of talked about the EPS for the year. As you look on the back half of the calendar year, how do you see the market? And then I've got a follow-up.
Robert A. Bruggeworth - President & Chief Executive Officer: Yeah. As far as the market goes, we're modeling pretty much flat handset growth. We're expecting people to continue to migrate up into the performance phones, and as well as the marquee phones, and driving the dollar content will continue to increase. So, we still expect the RF TAM for the Mobile business to grow 10% to 15%. We've repositioned James' business to start to get in the double-digit growth rates. So, coming back to the infrastructure, we are expecting a pretty solid year as we go forward.
Steven J. Buhaly - Chief Financial Officer: I just wanted to add, one of the exciting things in our business is the migration of the IDP business from a kind of a high single-digits growth rate to a mid-teens growth very comparable to what we see in the Mobile space. And this acquisition of GreenPeak is one more step in that direction.
Harsh V. Kumar - Stephens, Inc.: Got it. And then – hey, Steve, I think you touched on it just very briefly. I think you were supposed to have a major event, with your cost reduction strategy with your move to China. I was wondering if we could get a small update on that as it relates to what's going on there?
Steven J. Buhaly - Chief Financial Officer: Sure. Happy to. Most of the action is in the second half of the calendar year, as we can't really move parts that are in production. Our customers require us to start new parts in the location of manufacture. And so that means we're intersecting with major product launches, as is typical to happen in the back half of the calendar year. So that's when we'll start to see the flow of savings at the level we expect. So you'll see a little bit of the benefit this calendar year, and you'll see all of the benefit next calendar year. And we are on track for the second $75 million installment of our synergy expectations.
Operator: Thank you. The next question comes from Edward Snyder from Charter Equity Research. Please go ahead.
Edward F. Snyder - Charter Equity Research, Inc.: Thanks. Eric, there was a long list of product groups that are now using BAW, everything from diversity modules to all-in-ones like Fusion. Is that impact...
Steven J. Buhaly - Chief Financial Officer: Could you speak up a little bit, Ed? It's hard to hear you.
Edward F. Snyder - Charter Equity Research, Inc.: Sorry.
Steven J. Buhaly - Chief Financial Officer: I know it's hard to believe, but we...
Edward F. Snyder - Charter Equity Research, Inc.: I could. Let me speak in a normal voice, now. Check. Can you hear me now? You asked for it. Okay. So, Eric. So there's a long list of product groups now using BAW, everything from diversity to all-in-ones like Fusion. Did that impact your mix enough in Mobile to drive growth in operating margins? And do you expect that to occur or accelerate as we move through the year? And then Steve, you touched on there the PAD facility in China. Has much or any of TriQuint product lines – I guess it's mostly new Qorvo product lines, because you can't move old ones back there – what percentage are you in terms of moving to the PAD facility at this stage? And I have one for James.
Steven J. Buhaly - Chief Financial Officer: I'll answer yours first. I'd say we're under 50% right now. And maybe closer to 25%. So it's a relatively modest portion, just because of the lead times to equip the factory, start the prototypes, intersect with customer product launches. So the vast majority of it will be second half of the calendar year.
Steven Eric Creviston - President-Mobile Products: To the first part A, B and C of your question, the BAW product portfolio has filled out very nicely as you said. And we are shipping, in addition to the diversity receive modules now with BAW in it, several RF Fusion modules with BAW. And as you know, we released our first quadplexer for the China/CA market, also BAW-based. And traction in all of those has been very strong in March and continuing on into June, and certainly driving part of our growth. And as we've talked about, the gross margins on those are above our average, so that supports the expansion in gross margin. But of course, the growth being driven by that also helps the operating margin, to your point.
Edward F. Snyder - Charter Equity Research, Inc.: Okay. And then, James, most of – there was a nice uptick in your business this quarter. Was that most all 4G base stations? And was that spread evenly across your customers? Did you see more of a pocket of strength in certain areas?
James L. Klein - President-Infrastructure & Defense Products: We had good growth in the wireless infrastructure, our base station business, and also in connectivity. As far as the base station side, it was really broad-based across the regions and across all of our top-tier customers in the space.
Operator: Thank you. The next question comes from Quinn Bolton from Needham. Please go ahead.
Quinn Bolton - Needham & Co. LLC: Hi, guys. Let me add my congratulations. Bob, wondering if you could just comment about inventory levels at your largest customer. It seems like they've obviously seen lower-than-expected demand. And I'm just wondering, do you think that that supply channel here as you come out of March looking into June is fairly clean, or do you think that there's excess component inventory that you may have shipped in previous quarters that still needs to be worked off? And then I've got a follow-up for Eric.
Robert A. Bruggeworth - President & Chief Executive Officer: Well, I don't think you're going to like my answer much. I think things are fine. We're in pretty good shape there. So not really much to add. Things look fine to us.
Quinn Bolton - Needham & Co. LLC: The channel looks pretty clean from your perspective, it sounds like.
Robert A. Bruggeworth - President & Chief Executive Officer: Yes.
Steven J. Buhaly - Chief Financial Officer: Yeah, and you know and I'm sure you remember, we kind of took the medicine in the December quarter in terms of lowered expectations for that particular customer (29:30).
Quinn Bolton - Needham & Co. LLC: Right, right. Okay. Great. And then for Eric, just obviously very strong growth in China here looking into the June quarter. Wondering if you'd give us some sense. Obviously you're ramping Gen-3 of RF Flex, but you also shipped some of the premium filters. Can you give us some sense? Is it fairly well balanced between RF Flex and filters? Or is one of those businesses much larger than the other? And then sort of a follow-on question to that is last year you guys saw a massive June quarter in China, and it ended up leading to some inventory accumulation effective in September to December. As you look forward right now, do you think that that strength in China continues in the back half of the year? Or is it hard to have visibility that far out right now?
Steven Eric Creviston - President-Mobile Products: Yeah, thanks for the question. For the portfolio that's growing in June in China in particular is very, very diverse. In addition to all the RF Flex and quadplexers and discrete filters and so forth that we're growing with most of the China suppliers, when we look at Huawei, that's a completely different set of dynamic. We also see them growing strongly in June, but based more on the RF Fusion portfolio, some of the more premium solutions in power management and so forth. So, really I think it's fair to say our entire product portfolio is involved in one way or the other with various tiers and manufacturers throughout China. You have to remember, of course, even below Huawei, the other suppliers there, the leading suppliers like Oppo, Vivo and Xiaomi, we have very good long-term relationships with these guys and they're looking to expand beyond just domestic consumption and export more, which is driving a need for more premium filters and more bands in their phones. So that just plays right into where we're investing. Regarding your second point, yeah, very good point. Last year, we also had a very strong start to June. I think that has caused us to be pretty cautious. We are being just as careful as we can to make sure we're looking at the total demand and watching for customers that might be double-ordering or chasing the same slots and so forth. So, we're watching that really carefully. I think another big part of last year was the MediaTek Phase 2 generation where we were, frankly, behind by one or two quarters and it was hard to catch up once we got there. So, this transition this time with Phase 3 and then looking into Phase 5 and Phase 6, at this time we look very, very well-aligned with MediaTek as well as the end customers.
Operator: Thank you. The next question comes from Cody Acree from Drexel. Please go ahead.
Cody Acree - Drexel Hamilton LLC: Thanks for taking my questions, and congratulations, guys. Guys, on the BAW filter capacity, with Skyworks now pretty openly talking about having BAW filters in 2017. And of course, with them expanding their TC-SAW capacity, how do you see them changing the competitive landscape? And especially with all the expansion and filter capacity you've done yourself?
Robert A. Bruggeworth - President & Chief Executive Officer: As far as BAW filters go, I don't believe we see that changing the dynamic there. I think they're underestimating what it's going to take, I think the amount of IP, the capacity it's going to take. We're moving to 8-inch. The performance keeps improving generation over generation. Quite honestly, I'm not sure where they're getting the technology or where they even have a factory to produce it. We currently do know of suppliers out there that are limited in their ability to use BAW filters coupled with a SAW filter. And you pick either you want the BAW and transmit or receive. So we're certainly familiar with those things, but just don't see it. And as far as temp-comp SAW goes, high-performance filters, whether they're BAW or temp-comp SAW, continue to expand and grow. They are bigger than Qorvo in temp-comp SAW. We are expanding capacity for programs that we've already won. Like I said, we migrated to 6-inch. We talked in the February call about how we qualified the 6-inch process, and we're the first in the industry to do that. This quarter – in my opening comments I talked about how we're ramping temp-comp SAW in Florida. And again, that's for programs we've already won. But we feel pretty good about the capacity we're putting in place in BAW, as well as in SAW. So when I talked about SAW filters in Greensboro, that's really to insource filters that we're buying outside, that over time that will be a margin improvement as well.
Cody Acree - Drexel Hamilton LLC: Thanks, Bob. And one for Eric. Eric, when you talk about major drivers like carrier aggregation or diversity receive, can you talk about where we are in some of those adoption curves? How much of the dollar content story are those kind of major applications driving the content story? And how much of that curve do we have left to go?
Steven Eric Creviston - President-Mobile Products: Yeah. That's a good question. I would say, generally, we're still in pretty early innings overall, in addition to the transition to CA, which – you know, half, let's say, of the 4G phones overall this year will have CA. And eventually, I'm confident, they'll all have it over the next three years to five years. In China alone as well, we think somewhere like a quarter to a third of even the Chinese 4G phones will have carrier aggregation in the downlink this year. So I think overall, we're still in fairly early innings. Remember, I think we talked about this at Analyst Day, it's a compounding effect of those with the reduced number of SKUs in the handset manufacturers' pipeline that drives the complexity up dramatically. And so that overall trend as well, we definitely see our number two and number three customer in particular driving towards more of a global SKU like our largest customer does. And that also is still in the early innings of development.
Operator: Thank you. The next question comes from Ian Ing from MKM Partners. Please go ahead.
Ian L. Ing - MKM Partners LLC: Yes. Congrats again on outperforming other smartphone suppliers. You talked about reference design exposure in China, places like MediaTek. What about trends towards captive basebands, Xiaomei and Huawei? Are there any implications here on RF Flex and RF Fusion? Thanks.
James L. Klein - President-Infrastructure & Defense Products: Sure. Generally speaking, when you look at the value chain, the more basebands the better, from an RF guy's perspective, right? And so we like that. And in general, we're able to – we take common – to make the products that we're developing relatively common in terms of platforms. And then we can make relatively minor adjustments to customize for each individual, baseband platform or end customer. We don't see any of the vertical baseband guys looking to develop a completely new RF architecture, for example, right? And we're already addressing those architectures that our customers fundamentally want. So now it's only a matter of interfacing to those individual basebands. Relatively straightforward thing to do. And we're happy to do it. Doing very, very well with all the internal vertical suppliers.
Ian L. Ing - MKM Partners LLC: Okay. So a bit of a neutral. Thanks. And then my follow-up is, you know, really nice June quarter guidance, $50 million of new revenues, flat gross margins. Just wondering about the earnings fall-through. I mean, is it really variable compensation coming back? Or are there some other factors getting to the EPS guidance? Thanks.
Steven J. Buhaly - Chief Financial Officer: Yeah. Good question. We do expect variable comp to come back. That will lead to OpEx in the low-$150s million kind of range, maybe in the mid-$150s million, depending on the magnitude. It's unusual that we did not pay over the last six-month period, and so you do see kind of a contrast there, and I want to make it clear to folks to expect that. Otherwise, we did improve gross margins sequentially. A lot of that was due to yield differences. And then you have a bit more mobile in the mix, typically, in the June quarter. So all that leads to a guide of 50% gross margin.
Operator: Thank you. The next question comes from Blayne Curtis from Barclays. Please go ahead.
Blayne Curtis - Barclays Capital, Inc.: Hey, guys. Thanks for taking my question. You talked a lot about your China customers up in June. Maybe you could just talk about trends at your two largest customers, what you're embedding into that June guidance? And then, Steve, I just wanted to follow-up on the OpEx. You said put GreenPeak in September. What's the visibility to the close date, I think you said within the quarter. And any guidance as to what to add in the September quarter? Or would you rather just leave it out?
Steven J. Buhaly - Chief Financial Officer: Yeah. So, with respect to GreenPeak, it just closed a few days ago, so we'll have some fractional impact in the quarter, and we'll report that when we report the results of this quarter. But from an earnings perspective, consider it de minimis either way. And then you're right, I would prefer to talk about GreenPeak financially when we guide the September quarter.
Robert A. Bruggeworth - President & Chief Executive Officer: And Blayne, as far as our two largest customers, I'm not sure you know who they are. I know you clearly know who the largest one is, so I want to be careful. We're kind of splitting hairs maybe on this, but clearly our largest customer, we're being conservative in our guidance. We do believe it's down to maybe flat. We'll just see. They've got some pretty good selling products that we've got nice dollar content in, so down to flat for our largest – second largest depending on which one of those you pick. One's going to be down slightly and one's going to be up, so I gave you the top three. How's that?
Blayne Curtis - Barclays Capital, Inc.: I appreciate it. I guess the two largest in March. Obviously it changes, but yes. Thank you.
Operator: Thank you. The next question comes from Tim Arcuri from Cowen and Company. Please go ahead.
Timothy Arcuri - Cowen & Co. LLC: Thanks a lot. I guess the first question is, can you give us some sense in fiscal 2016 maybe what the percentage of your Mobile revenues came from Chinese OEMs?
Steven Eric Creviston - President-Mobile Products: Over the last year in total – are you including Huawei as a Chinese OEM or do you consider that global?
Timothy Arcuri - Cowen & Co. LLC: Include them.
Steven Eric Creviston - President-Mobile Products: Yeah, so on the range of – Mobile business on the range of 40% probably including Huawei.
Timothy Arcuri - Cowen & Co. LLC: Okay. Great. And then second question is on the share repo. You bought back 10 million shares in March. I know that some of that's going to spill over into June from kind of how it flows through the P&L, but you said that you're only going to buy back 500,000 shares in June which is down a lot. And that's still not even working through the $250 million that you have left on the repo, so I'm wondering why you're cranking down the repo so much in June. Is that related to the stock price? Or is there something else happening there? Thanks.
Steven J. Buhaly - Chief Financial Officer: Yeah. So, a couple things. The ASR that we initiated was initiated mid-quarter of the March quarter, and so we paid Bank of America $500 million, they tendered about 10 million shares to us. And since share count for a quarter is based on the average for that quarter, we get about half credit this quarter, half credit next quarter. Now the next point: the ASR is not finished yet. Our partner Bank of America is completing that program this quarter, and exact share count tender will depend on the average share price that we end up with. So our estimate is we'll pick up another half million shares or so as that program comes to completion. Once that program is complete, our board will evaluate whether to proceed with a subsequent buyback utilizing the remaining $250 million previously authorized.
Operator: Thank you. The next question comes from Atif Malik from Citigroup. Please go ahead.
Atif Malik - Citigroup Global Markets, Inc. (Broker): Hi, thanks for taking my question and good job on the execution in the March quarter. Both questions for Steve. On the gross margin, you're guiding flat gross margins on 7% sequential revenue growth. How should we think about your long-term target model of 55%? Has anything changed on that? And then I have a follow-up for Eric.
Steven J. Buhaly - Chief Financial Officer: Yeah. So, I think the big drivers for us getting from where we're at, which is roughly 50% to our long-term model of 55% are really those big movers in the gross margin line we referred to earlier, moving BAW filters from 6-inch wafers to 8-inch wafers, SAW and TC-SAW from 4-inch to 6-inch. Both of those have an effect of taking roughly a third of the costs out of the die for BAW filters and SAW and TC-SAW filters, very significant reductions. We'll be consolidating our gas production into a single foundry over the next year and a half, insourcing, assembling tests for part of our Mobile business, the part that used to be – belonged to TriQuint, and each of these have a significant impact which is largely going to be felt in FY 2018. These will occur throughout the year, but the financial impact will be mostly in FY 2018, and then we also simply have the scale benefits of the kind of growth I referenced earlier. We have a fair amount of fixed costs, and we will see scale benefits as we continue to grow to the market at what we expect will be a 10% to 15% rate. So, I'm actually – short-term, I think we're going to fluctuate around, depending on the particulars of the quarter, but long-term, these are big, substantial items that don't involve new laws of physics. This is stuff we can do. We're well underway, and I think we are on track to get to the target model over time.
Atif Malik - Citigroup Global Markets, Inc. (Broker): Okay. And then a follow-up for Eric. Eric, is it possible for you to quantify what percentage of the bands that are getting aggregated globally are using BAW or FBAR type filters?
Steven Eric Creviston - President-Mobile Products: Well, that's a pretty tough thing to do, actually, other than to say it's growing as a percentage of the total. It's substantial and growing, but that would be a really hard thing to do, looking at all the different band combinations that we're addressing across so many different platforms. But obviously, it's meaningful today. You can tell that by the investments and what's happening in the industry and it's continuing to grow.
Robert A. Bruggeworth - President & Chief Executive Officer: And there's no question, it's probably the highest growth rate area of our business right now, are the high frequency premium filters. We're doing very, very well.
Steven Eric Creviston - President-Mobile Products: Yeah. And even if you look at our Wi-Fi growth, which is – we haven't talked about that today at all, but we're also seeing very strong growth in our Fusion module for Wi-Fi, and that's primarily coming from customers that were doing chip-on-board implementations where they were using our BAW filter but maybe somebody else's FEM. And we've integrated all that together. So when you look at what the TAM or the addressable market effect is, of the BAW filters, it can be quite big.
Operator: Thank you. The next question comes from Steve Smigie from Raymond James. Please go ahead.
Vincent Celentano - Raymond James & Associates, Inc.: Thanks. This is Vince Celentano on for Steve. I was hoping if you could elaborate a little bit more on your new GaN design win. Does it relate at all to the power amplifier market for base station? And overall, when do you expect revenue for these wins to start kicking in? And overall, what do you see as the potential revenue opportunity?
James L. Klein - President-Infrastructure & Defense Products: So, several questions in there again, but good design wins in both the commercial and defense business, both power amplifiers, and yes, on the commercial side it is towards the base station. Not just design wins, but we have production orders in the books. And we are shipping into both of those markets today. Overall size of the market, I think the way I would say it is that market, we model it growing at about 25% year-over-year. We're the market leader there today, and I think we'll continue to grow at that rate and potentially even a little bit higher.
Vincent Celentano - Raymond James & Associates, Inc.: Okay. Thanks. And in the past you've said your IDP division is roughly an even split between defense, connectivity, transport, and wireless infrastructure. Is that still the case? And do you guys have any insight as to the relative growth rates of each of these sub-segments?
James L. Klein - President-Infrastructure & Defense Products: So, yeah, again, this is James. The relative size. I think that's still a good estimate, that it's broken into those four areas and relatively the same size. And the growth rates, as we've talked about before, probably single-digits or so, high-single-digits in defense. Our connectivity business or Wi-Fi business we see growing close to that 20% range. That's what the market's doing. And those are really probably the big drivers in the business. I will say that with moving our portfolio around we've repositioned into really some significant high growth areas. We've moved about 60% of the business into what we consider above average growth markets, and those are markets that are growing in the 20% kind of range. The addition of GreenPeak really substantially helps that. GreenPeak's markets targeted to grow at about 60% between now and 2020, and so very high growth as we move into the connected home and really start to see IoT take off.
Operator: Thank you. The next question come from Edward Snyder from Charter Equity Research. Please go ahead.
Edward F. Snyder - Charter Equity Research, Inc.: Thanks a lot. Eric, Samsung came in a bit better than expected this quarter. I know you guys gained content, but they broke through the 10% barrier here. Was that better content than you expected, a better mix of SKU sales for them, or just higher units overall? And then how do you see things trending at Samsung, not so much on the GS7, but do you expect to continue gaining content above and beyond what you saw in the GS7 in the second half or 2017 with Samsung?
Robert A. Bruggeworth - President & Chief Executive Officer: Hey, this is Bob. As far as Samsung in the quarter, they played out just exactly how we expected it. So we expected to gain the content. We talked about it in last quarter's conference call and it pretty much played out. As far as things go in the future, I'll let Eric address that.
Steven Eric Creviston - President-Mobile Products: Yeah. Thanks.
Robert A. Bruggeworth - President & Chief Executive Officer: Mine was easy, it was already done.
Steven Eric Creviston - President-Mobile Products: Samsung is really not unlike the rest of our customers, Ed. We have the same opportunities there working across multiple baseband solutions in their portfolio to really optimize the RF front-ends to cover more and more capabilities going forward. So when you look at the unique things we're bringing from a tuning and advanced envelope tracking power management, the full suite of BAW filters and so forth, the ability to integrate all of those into really highly compact solutions, I think Samsung is really just like all the other customers from the mid-tier all up to the highest tiers marquee smartphones where we have the opportunities to help them really do a lot more with higher performance in smaller space. So yeah, we think our opportunities there continue to get better.
Edward F. Snyder - Charter Equity Research, Inc.: Yeah. But on the highly integrated module, Skyworks offers that, too, and they've had some success. So what I'm trying to get to here is how much of what you've just experienced at Samsung is due to their SKU reduction moving to these high density modules from more of a regional, discrete architecture versus say gaining traction because you've got BAW, you've got nearly every technology that anybody could want, versus either Avago or Skyworks, and it may lead to just straight up content gains. I'm trying to get a feel for where that falls on the current performance and then what you're seeing – because you see the roadmap out for at least a year now – how does that look for the next two phone?
Steven Eric Creviston - President-Mobile Products: Yeah. That's what I was trying to address. I think we are well familiar with the content gains that we're seeing that's driving the overall industry to 10% to 15% growth. Because of the SKU consolidation, CMOS and so-forth. So I tried to highlight at the beginning, the things that we are maybe differentiated in where we're bringing something in addition to that. Tuning is a big area across our entire customer portfolio now where we really see that growing and we've got a lot of leadership there in bringing new solutions and envelope tracking power management as well. We're the only open-market solution for that. And we're seeing a lot of traction driving there. So, in addition to those fundamental drivers, we think Qorvo does bring a lot of unique things as well. That really helps us.
Operator: Thank you. So that concludes today's question-and-answer session. I'd like to send the conference back to management for any additional or closing remarks.
Robert A. Bruggeworth - President & Chief Executive Officer: We'd like to thank each of you for joining us tonight. We're launching an increasing number of highly-integrated RF solutions. We're seeing a return to growth in many of IDP's broad markets and we're excited about the long-term growth outlook for the RF market. We believe our systems-level expertise, integration capabilities, and comprehensive product portfolios of breakthrough RF solutions position us favorably to gain content and drive continued profitable growth. Thank you, and have a good night.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for your participation.